Operator: Welcome all and thank you for joining us for the BJ's Wholesale Club Q3 2024 Earnings Conference Call. My name is Carly, and I'll be coordinating your call today. [Operator Instructions] I'd now like to hand over to your host, Cathy Park, to begin.
Cathy Park: Good morning, and welcome to BJ's third quarter fiscal 2024 earnings call. With me today are Bob Eddy, Chairman and Chief Executive Officer; Laura Felice, Chief Financial Officer; and Bill Werner, Executive Vice President, Strategy and Development. Please remember that during this call, we may make forward-looking statements within the meaning of the federal securities laws. These statements are based on our current expectations and involve risks and uncertainties that could cause actual results to differ materially from our expectations described on this call. Please see the Risk Factors sections of our most recent Form 10-K and Form 10-Q filed with the SEC for a description of those risks and uncertainties. Finally, please note that on today's call, we will refer to certain non-GAAP financial measures that we believe will be -- will provide useful information for investors. The presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's press release and latest investor presentation posted on our Investor Relations website for a reconciliation of these non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. And now I'll turn the call over to Bob.
Bob Eddy: Good morning. Thank you for joining us. Today, we reported impressive third quarter results that demonstrate the power of our model and the impact of great value and fantastic execution. We drove quarterly comps and profits that were higher than anticipated. Our business was once again fueled by robust traffic, unit volumes and market-share growth inside our clubs and at the gas pumps. We continue to invest in our long-term initiatives while growing merchandise margins in the quarter as our efforts continue to take shape. We are most pleased with the consistent strength we've driven in membership, leading to over 8% growth in membership fee income and hitting a milestone of 7.5 million members in the third quarter. Since fiscal 2018, we've grown our member base by 40%, while achieving the highest renewal rates in the company's history. We've more than doubled the number of members in our premium tiers and higher tier membership penetration continues to grow. We also announced our first membership fee increase in seven years. Effective January 1, our base annual membership will increase by $5 to $60. For the plus tier, we're increasing the annual membership fee by $10 to $120 and bolstering the premium value prop to include a new added benefit of two free same day deliveries a year. This new benefit alone is worth about 3 times the fee increase for our plus members. Since our last fee increase in 2018, we have invested heavily in the value of a BJ's membership. We've raised average hourly wages by nearly 40% across our clubs and DCs. We provide better rewards and gas benefits and launched a new co-brand credit card to deliver more value to our members. In fact, rewards to our members have gone from about $130 million in fiscal 2018 to more than $350 million in the last year. Seven years ago, our members had only one way to shop us. Today, they can access a range of digitally enabled conveniences to save time and money. We've improved our assortment in fresh and general merchandise and leaned into our own brands, which are now over a quarter of our merchandise sales. Our efforts have paid off in the form of a much stronger business that's delivering significantly more value to our members today. We plan to reinvest the proceeds from the fee increase announced today in labor and better value, not to mention the two free deliveries in order to keep our momentum up. Comparable club sales excluding gas sales grew by 3.8% in the third quarter. The East Coast port strike last month created temporary shifts in member behavior reminiscent of the pandemic. This, along with the two hurricanes in the quarter, positively impacted our comp sales by a bit less than 1 point. Said differently, excluding the port strike and hurricane shifts, our results slightly beat expectations, demonstrating the progress we continue to make on our long-term priorities. Traffic accelerated once again, contributing over 4 percentage points to our comp and we gained grocery market share in both units and dollars in the quarter. Our perishables, grocery and sundries division delivered over 4% of comp growth in the third quarter with broad-based strength across all three divisions. Perishables led the growth, boosted by our strong showing in dairy, meat and of course, produce. Our General Merchandise and Services division delivered approximately flat comps in the third quarter. We're pleased with the underlying progress our teams are making to sustainably grow this part of our business. Our assortment and presentation in our home and apparel categories are improving each quarter. Notably, our seasonal GM categories delivered positive comps in the third quarter for the first time in nine quarters. Members have increasingly taken notice of our elevated assortment in areas like toys and books. Our nimble teams also adapted our localization strategies to take advantage of an unseasonably warmer fall season and capture opportunistic sales in grilling, producing low double-digit comps in the category. Finally, in consumer electronics, members continue to find phenomenal value in our enhanced offering with meaningful comp growth in categories like audio and video games. We are still seeing members being thoughtful in their purchasing behavior, especially around larger ticket discretionary categories, which we're accommodating with high quality items at compelling price points. Thanks to our well curated assortment, we are an attractive TV destination for our members, delivering comp unit growth once again in the quarter. As we approach the holidays, we've built on last year's success in gifting, providing more great options for everybody on our members lists. Our toy assortment has all the top brands our members are looking for, including Barbie, Hot Wheels, LEGO, Bluey and many more. We are also delivering an assortment that includes the latest tech, including video games, audio, TVs and more. True to our DNA, we will also be offering exceptional value on all the holiday essentials, including seasonal decor, updated home furnishings and items for hosting holiday gatherings. And of course, the convenience of a one stop holiday shop alongside our grocery offering makes the treasure hunt even more valuable. Our four strategic priorities are critical to our future success. As a reminder, these priorities are improving member loyalty, giving our members an unbeatable shopping experience, delivering value conveniently and growing our footprint. We have a lot to be proud of in each of these areas. Our membership momentum is incredibly strong. Our success in growing both the size and quality of membership resulted in another robust fee income quarter and our member count surpassing 7.5 million. We continue to drive strong renewals and effective member acquisition across new and existing markets. We're also on track to deliver another strong 90% renewal rate this year, supported by our 39% higher tier membership penetration. We're especially pleased with our continued strength in our One+ credit card tier, our highest tier, which is outpacing the growth of the rest of our member base. Our One+ members are our most loyal and highest spending members, exhibiting the greatest lifetime value. In addition to our strong value proposition, we've made strategic investments to motivate this growth in higher tier memberships. Our successful conversion of our credit card portfolio to Capital One early last year was a milestone on our membership growth journey. Since the conversion, we've added over 750,000 new accounts to the program, driving substantial incremental rewards for our members and incremental lifetime value for BJ's. The team is proud of the growth and hungry to drive our higher tier penetration north of 40% and beyond. We continually work to deliver an unbeatable shopping experience and great value to our members, which comes in multiple ways across merchandising, pricing and convenience. We're going after repeat trips and greater wallet share ultimately in pursuit of our first strategic priority, deepening member loyalty. As with most, if not all, of our strategic work, our merchandising initiatives begin with a fundamental understanding of how our best and most loyal members engage with us and how they want to maximize their value with BJ's. These insights have served as the foundation for our recent initiatives in general merchandise, category management process or CMP and also in Fresh 2.0. Fresh 2.0 was devised from our own data informing us that members who shop BJ's as their primary fresh destination visit us at least once a week and on average have nearly 30% greater baskets per trip compared to members who don't engage with us in Fresh. As a result, these members spend about eight times more per year than non-fresh shopping members. They're also more likely to be higher tier members. Our fresh initiatives are designed to encourage these behaviors across our broader member base. We've worked hard over the past year to bring excitement and even more freshness to our produce assortment. We improved supply chain velocity where it mattered. We expanded vendor relationships to increase in-stocks and put new seasonally relevant produce on rotation. We implemented essential fresh training across our clubs. We upgraded our marketing and presentation. Finally, in the second quarter, we completed the rollout of our standalone coolers stationed at our front entrances to highlight incredible quality and value drawing members into the category. Our third quarter results continue to showcase our mounting credibility and success in fresh. Our produce categories delivered low double-digit comp growth in the third quarter, almost entirely driven by unit volumes. And our NPS performance in fresh has also dramatically improved in the last two quarters. We're thrilled with the early results and are excited about the long-term benefits of more loyal members driving sustainable growth in our business. Our own brands provide members with high quality products at spectacular value. We are elevating our offering where we see opportunity. Our Snack Nuts program, which we recently relaunched is a great example as one of our best performing owned brand categories in the third quarter. We spent months refreshing our assortment, elevating the quality, especially in our almonds and cashews and improving the packaging for better aesthetics and functionality, all while continuing to offer our strong club value. We're just about one full quarter in and we're already happy with the level of member engagement. Our third quarter owned branch penetration in the category rose over 1,000 basis points. We're growing our own brand sales penetration each quarter and remain confident in our goal of reaching 30% over time. Our digital business is growing rapidly. Today, members can save hours on their shopping through digital conveniences such as BOPIC, curbside pickup and same day delivery. When in our clubs, they can also leverage our digital coupon gallery and skip the lines with ExpressPay checkout. Adoption rates in these conveniences continue to grow, driving our 30% growth in digitally enabled comp sales in the third quarter. While our digital offerings have been available to our members for several years now. We've been constantly refining and tailoring the experience to how our members want to shop, making it even more seamless. For example, our order process has evolved to include the ability to substitute items and allow members to add items to their order after checkout. We've also enhanced how our team members are fulfilling digital orders through optimized batch orders, AI enabled pick pathing and temperature control safeguarding. Our efforts have delivered gains in both team member efficiency and member experience, including an estimated 20% reduction in item cancellation rates and meaningful improvements in our member satisfaction scores. During the holidays, we typically see increased search activity across our digital platforms. We know how important it is for our members to quickly find the products they want and need during this busy time. In preparation, we recently launched a new AI powered search engine to improve search relevancy and we're already seeing better member engagement and conversion. We will continue to adapt and enhance our digital conveniences to deliver greater value to our members. Finally, we're making great progress on our real estate strategy, opening three new clubs and four gas stations in the third quarter. We recently opened our membership center in Louisville, Kentucky as we prepare for entry into our 21 state in a couple of months. During the fourth quarter, we will bring our total club count to over 250 clubs, a year ahead of our original goal. While the recent hurricanes have caused some minimal delays in our timeline, we are on pace to open eight more clubs by the time of our next earnings call. Based on the engagement we've seen with membership sign ups, our future communities can't wait for us to open. We're excited about our growing pipeline, which will enable further acceleration of new club openings in the coming years. Complementing our in-club experience is our fuel business. Gas is yet another great way in which we deliver significant savings to our members, particularly our co-brand credit card holders. Because of a strong member loyalty tied to this amenity, we have strategically revisited older standalone club locations across the chain to add gas. This is why our gas station openings have outpaced new club growth over the past several years. In fact, one of the four gas sites we opened in the third quarter was in Medford, Massachusetts. BJ's very first club now has a gas station 40 years later. We're pleased with the continued share gains we're delivering with nearly 3% growth in comp gallons in the third quarter. This compares to the single-digit declines currently being reported by the broader industry. As we assess the health of the consumer today, members remain focused on value and they are increasingly relying on BJ's to attain that value. We have an advantaged business model that gathers share not just in the good times, but also in times of uncertainty. Our performance in the third quarter validates this very notion where amid some choppy events, we produced year-over-year growth in trips and spend across all high, medium and low income levels. Our strong value prop is resonating with our entire member base regardless of their financial standing. Our third quarter results also underscore our team members' dedication to our purpose of taking care of the families who depend on us. I'm incredibly proud to see them go the extra mile showing up for our members every day, especially in times of need. In advance of a storm, BJ's is often the last retailer to close and in its wake often the first to open, making us a reliable destination for our communities. I'd like to thank our team members who navigated the hurricanes and port strike led spikes in demand with tremendous grace working around the clock to support our communities and each other. Looking ahead, we are confident in our ability to sustainably grow the business, reinforced by strong membership, traffic and unit volumes. These remain key markers of the underlying strength of our company. Furthermore, we believe our operating model, investments in our strategic priorities and unwavering dedication to delivering value keep us well-positioned for the future. I'll now turn it over to Laura to provide more details on our results and outlook for the year.
Laura Felice: Thanks, Bob. I'd also like to thank our team members across our clubs, club support center and distribution centers. Their outstanding dedication to our company and communities contributed to another strong quarter. Let's now review the third quarter results. Net sales in the quarter were close to $5 billion, increasing 3.4% over the prior year. Merchandise comp sales, which exclude gas sales, increased by 3.8% year-over-year. Our accelerating traffic and comp unit growth in the quarter serve as a strong testament to members finding significant value in their BJ's membership. Total comparable club sales in the third quarter, including gas sales, grew 1.5% year-over-year. An approximate 13% year-over-year decline in retail gas price per gallon was partially offset by market-share gains with comp gallons growing nearly 3% year-over-year. Digitally enabled comp sales in the third quarter grew 30% year-over-year and 47% on a two year stack. Over 90% of our digital sales are fulfilled by our clubs with services like BOPIC and same day delivery, which remain meaningful drivers of our digital growth. BOPIC alone comprises about half of our digital sales today. Our digital offerings is intended to deliver value by maximizing convenience, thereby improving member loyalty. We will continue leaning into these mutually beneficial enhancements in the future. Membership fee income or MFI grew 8.4% to approximately $115 million in the third quarter, driven by strong membership acquisition and retention across the chain. We're incredibly pleased with surpassing 7.5 million members this quarter and the strong momentum we are building in membership. Moving on to gross margins, excluding the gasoline business, our merchandise gross margin rate increased by approximately 20 basis points year-over-year, led by our continued execution of our long-term initiatives and disciplined cost management. Last quarter, we highlighted several areas of investment we are making to strengthen our business longer term. First, our perishables business continued to drive strong comp sales as we advance our fresh initiatives. While a growing fresh mix is naturally margin rate dilutive, we are committed to growing our fresh business due to its favorable influence on long-term member behavior. Second, we have made considerable progress on executing CMP, which as a reminder is our end-to-end assortment planning approach to deliver a member relevant assortment that drives profitable sales and market share growth. At this point, we have rolled out CMP across all of our key grocery and sundries categories and the initiative is yielding our intended results of better member engagement and share gains. As a result, we're driving structurally better margins too, contributing to our merchandise margin performance in the third quarter. SG&A expenses for the quarter were approximately $733.6 million, primarily driven by our new unit growth and other investments to drive our strategic priorities as well as an expected increase in accrued incentive compensation. We also benefited from the net impact of legal settlements of approximately $20 million in the quarter, partially offsetting the SG&A deleverage as a percent of net sales. Our third quarter adjusted EBITDA grew 13.5% year-over-year to $308.3 million. As a reminder, our calculation no longer includes preopening and non-cash rent expense add backs. All-in, our third quarter adjusted earnings per share of $1.18 increased by approximately 18% year-over-year, reflecting the underlying growth in our business. Strong gas profitability also contributed to overall profits that exceeded our expectations in the quarter. Excluding the effects of the port strike, hurricane and net impact of legal settlements, our third quarter results were slightly better than expected. Let's move on to our balance sheet. We ended the third quarter with absolute inventory levels up 3% year-over-year and flat on a per-club basis with nine more clubs in our chain today compared to a year ago. I'm especially proud of the team's work in the third quarter in allocating the right amount of product to the right clubs at the right time. Despite the inventory challenges caused by the port strike led demand, we improved our in-stock levels by approximately 70 basis points over the same period last year. Our capital allocation strategy is consistent with our historical framework. We believe that the best use of our cash is applying it towards profitably growing the business. As such, investments to support membership, merchandising, digital and real estate initiatives will continue to be funded by our cash flows and enabled by our strong balance sheet. We ended the third quarter with half a turn of net leverage. Returning excess cash to shareholders remains an important part of our capital allocation strategy as well. In the third quarter, we repurchased nearly 680,000 shares for approximately $58.2 million. With our existing share repurchase program expiring in January, we announced today that the Board has approved a new $1 billion share repurchase program effective February 1, 2025. We will continue to take a disciplined approach to deploying our capital to maximize shareholder value. Turning to our outlook, we are raising full year fiscal 2024 guidance to reflect the third quarter results. We expect our fourth quarter 2024 comp sales excluding gas to grow between 2.5% and 3%, bringing us above the high end of our original full year guidance range. This remains consistent with our original expectations of getting closer to our long-term algo comps by year end. We continue to navigate an uncertain economic backdrop, but expect our strong value proposition to drive traffic and market share, especially through the holidays. In the fourth quarter, we have also embedded a little bit of unwind in port strike led sales from the third quarter. We are proud of our achievements in membership, which has performed better than our expectations and our long-term algo this year. We expect to end the year strong despite continued moderation in the year-over-year growth rate and minimal impacts from the fee increase in the fourth quarter. We anticipate that any fee increase related MFI will be invested back into our value prop, consistent with our philosophy. Our fiscal 2024 merchandise gross margin expectations remain unchanged at approximately flat year-over-year as we execute on our long-term initiatives while investing in the business. Consistent with the first three quarters of the year, we are planning SG&A deleverage for the fourth quarter of fiscal 2024 as we invest in growth initiatives, particularly in unit growth and new club sales ramp over a multiyear period. While these investments have tempered our earnings power in the near term, we have high conviction that this is the right thing to do for the long term. A reminder that we are also lapping variable compensation tailwinds from the fourth quarter of last year. Subsequent to quarter end, we opportunistically repriced our $400 million term loan to provide for a 25 basis point reduction in our spread, the equivalent of approximately $1 million in annual interest savings. We are planning for an effective tax rate of approximately 28% in the fourth quarter. Finally, we expect adjusted EPS to range from $0.78 to $0.88 in the fourth quarter and $3.90 to $4 for the full year of fiscal 2024 at the high end of our original range of $3.75 to $4. Please also recall that we are lapping a 53rd REIT from the fourth quarter of last year that contributed approximately $350 million of net sales and $0.10 of earnings per share. Longer term, we remain confident in the underlying strength of our business and believe we are well-positioned to deliver sustainable growth to maximize shareholder value. Bob, back over to you.
Bob Eddy: Thanks, Laura. We continue to transform our business, investing in great talent and executing on a prudent strategy focused on delivering great value and driving long-term growth. We are unified by our purpose of taking care of the families who depend on us. We will grow the size and quality of our membership. We will offer an unbeatable member experience through our merchandising improvements. We will provide more digital conveniences to save our members' money and time, and we will profitably grow our footprint. Thanks again for joining us today and for your support of BJ's Wholesale Club. We will now take your questions
Operator: Thank you. We'd now like to open the lines for Q&A. [Operator Instructions] Our first question comes from Peter Benedict of Baird. Peter, your line is now open.
Peter Benedict: Hi, guys. Good morning. Thanks for taking the question. First was just around kind of the membership, the 7.5 million members, you said 39% are at the higher tier. I just wanted to clarify, is that the right way to think about maybe is it the number of members that are paying 110 right now, so a little less than 3 million members that will be going to 120 or is it the subsector or a subset of that group? And how are you thinking about attrition rates? That's my first question.
Bob Eddy: Hey, Peter. Good morning. Thanks for the -- thanks for the question. Look, we're thrilled about our membership performance so far this year as we talked about in previous quarters. And in today's call so far, our team has done a fantastic job growing the size of our membership, growing the quality of the membership. We've got all-time high renewal rates. The behavior of our members is improving every day. And that gives us the confidence to announce the fee increase that we announced today. Your question on the higher tier members, obviously, those are our best members. They visit us most often. They spend the most when they're with us. They engage with all of our digital properties. They are really high lifetime value members, and as you know, that's a mix of folks that pay the base membership fee and hold a credit card, our co-branded credit card and those folks that either or both pay the higher membership fee and hold a credit card. So it's -- it is quite a bit of a mix. That population has been growing really, really nicely over the past several years. And we see it -- we see a path to grow it even further and faster than we have in the past on the back of the increased value proposition that we're putting forward as part of the fee increase with two free same day deliveries as well as all the past investments we've made and not to mention our co-brand credit cards. So we are really thrilled with the performance from our entire team around the membership area of our business, it's the most important part of what we do and we're excited about the future. Maybe I'll let Laura jump in.
Laura Felice: Yeah. Hey, good morning. The thing I would add on top of that, just for clarity purposes, I think when we think about the fee increase that we're putting in in January, there's a little bit of that, that flows into this year, very small. But for next year, I would think about that as about $20 million on an annual basis. That will be back half weighted. As you know, it will ramp over the course of the year as those dollars flow through. And we intend to run a very similar playbook to what we've done in the past. We will invest that back in the business and our members and make sure we continue to fuel the business going forward.
Peter Benedict: Got it. Okay. Thank you. That's helpful. And my next question is just a follow up is just on kind of the pace of SG&A growth going forward. You're investing in clubs. You talk about how that kind of impacts a little bit the near term earnings as you kind of open these, you got pre-opening expense. Maybe just Laura, talk to us about the pace of SG&A growth going forward. What level of merch comp you would envision needing to, I guess, hold that line steady as a percentage of sales, just however you want to frame it, but just curious kind of the longer term view on SG&A from here. Thanks so much.
Laura Felice: Yeah. Look, I think as we step back and look at the business, the story on growing our unit base. And so that's an important piece of our strategic priorities as we look forward for the long term. And that does provide some SG&A deleverage. Recall, we've talked about those clubs take a number of years to ramp and so as we've ramped our pace of openings, that SG&A leverage is -- or deleverage is coming through. We will come back to you all in March when we talk about full year and set next year as we think about forward-looking margin structure and SG&A for next year. But I would expect there is deleverage as we said in the prepared remarks for Q4 that we've seen all year this year.
Bob Eddy: Pete, maybe I'll just add a little bit. This is another area where we're incredibly proud of the progress we've made over the past several years. Bill and his team and our whole team really, not only have we gone from opening no clubs to now about 10 a year, but we're doing it in an incredibly effective fashion. We're able to do it in big chunks as well. And we talked about opening a few clubs in Q3. We will open several in Q4, sort of all at the same time. That's a huge lift for any organization, but certainly an organization like ours that's learning how to do it. And we're really pleased with the performance of the team. We're really pleased with the performance of those new clubs that have come online. And it's really as I think about the long-term growth of the company, while it will -- all the depreciation coming in and the expense loads from these clubs coming in will pressure our near-term earnings potential three, four, five years from now, we will be absolutely ecstatic that we did it this way. And so, as Laura said, we'll talk about next year when we get to the fourth quarter call, but that is part of the reason why that we issued the guidance we issued for Q4 as we will open a bunch of these new clubs in the next few weeks which will pressure Q4 a bit. While we're on that topic, maybe I'll ask Bill if he has anything to add?
Bill Werner: Yeah. I'd say, we're excited about what's going forward. I think, Peter, we've talked about this a little bit with the investment community, but the other thing I would just comment on the -- on the SG&A piece, specifically as we think about new clubs is that we've purposely shifted to the model of buying the land, building the buildings ourselves and then owning the real-estate. And while that does come with some incremental pressure on the front end, it certainly creates a ton of shareholder value over the long term and we'll continue to evaluate the overall capital structure position in terms of how much real estate we want to keep on the books, but we have -- we have a ton of flexibility at this point to make those decisions as we go forward as we think about the right investment to keep on the balance sheet, vis-a-vis the right level of expense drag to come through the P&L on the investment side. So more to come on that. But again, to just reiterate Bob's point, I'm really proud of the team and across the board, we've spent the last handful of years building this muscle in terms of opening new clubs, opening them well. We've seen great results. One of our Q3 clubs is already across the 52-week membership goal. As we look forward to the clubs that we're going to open in Q4, two of them are -- two of our January clubs are already ahead of their preopening goals. So we've seen strong membership demand across the board, which again just speaks to the value that we bring to the communities and the real desire to see us -- to see us open. So, yeah, we're excited for what's ahead here.
Peter Benedict: Good to hear. Makes sense. Good luck, guys. Thanks for the perspective.
Bob Eddy: Thanks, Peter.
Operator: Thank you very much. Our next question comes from Robby Ohmes of Bank of America. Robby, your line is now open.
Robby Ohmes: Hey. Good morning, guys. Two questions. One, just on for the fourth quarter guide, what's the holiday assumption for that 2.5% to 3% comps. What's the general merchandise comp assumption in there? Is it -- is general merchandise comps expected to accelerate solidly from what you did in the third quarter? Any color that, also mix of digital versus in-store that you expect and maybe remind us whether that matters a lot to your margins if it ends up being more digital than in-store? And then maybe for Laura, just the fresh initiatives, I don't know if you can give us any more color on the margin impact assumed for that in the fourth quarter and any thoughts for next year that we should be thinking about on fresh impact on margins next year? Thanks.
Bob Eddy: Yeah. Thanks, Robby. Good questions. As we think about Q4, certainly a lot to take in given holiday shift and coming out of the election and the weather we've seen here in the Northeast and all sorts of different things to get through. But overall, we're cautiously optimistic. We feel like we've got the right assortment out in front of our members. We're very proud of what the general merchandise team has put out there. As I've traveled clubs in the last couple of weeks, it all looks great. Our ops team has merchandised it very well for our members and our members are in those aisles shopping as I've traveled. So I think we're pleased. We've certainly got the traffic in our business to support that. It's obviously driven by the fresh business as we talked about a little bit earlier. But as folks are coming in for their holiday food shop, I expect them to be in our general merchandise aisles as well. I would expect a better performance in GM in Q4 versus Q3. We had some weather noise in Q3 given the abnormally warm fall and a few other items in the third quarter, but we really are happy about what we've got on the floor for Q4 and hopefully, our members respond in the way that -- in the way that we expect them to do. Our digital business is frankly on fire at this point, putting up 30% growth this past quarter on top of huge growth, the previous quarter -- previous year in the same quarter, we're really doing a great job of saving our members' time through our -- of all of our digital properties. I see great growth in the use of our app, great growth in the use of ExpressPay to skip the lines at checkout and our members are really telling us all the time that we're helping them save time as they do that. So it is a little bit more costly in some of those things. Certainly, as we're picking orders that causes a little bit more labor, but the baskets are bigger in digital orders and folks that interact with us digitally tend to have more incremental shopping behavior and better renewal rates as well. And so if we have to invest a little bit more in labor, we're happy to do that for the long term. And maybe, Laura, why don’t you tackle the fresh question?
Laura Felice: Yeah. Hey. Good morning, Robby. You recall in Q3, we talked a lot about our fresh story and as we've seen that ramping through our business at a faster pace than we expected. And we saw that business to continue to do very well in the third quarter as we talked about in the prepared remarks. And that business does come at a lower margin rate just by the natural structure of it. But we continue to think that it's important for the long-term for our members to engage in that category. And we know if our members engage in the fresh category, they are more likely to expand their basket over time and shop more frequently, all of which are important to the lifecycle of membership. If they have bigger baskets and they shop more frequently, they are more likely to renew. So we feel really good about that business. We continue to see it trending well and expect it will do so in the future.
Robby Ohmes: Thank you.
Operator: Thank you. Our next question comes from Edward Kelly of Wells Fargo. Edward, your line is now open.
Edward Kelly: Hi. Good morning, everyone. Bob, I was curious if you could just take a step back and maybe talk about the timing of the fee increase. And as it pertains to why it's right for your company today and as part of this, could you talk about first year retention rates, trend in discounting related to signing up members? And just kind of what I'm getting at is just a bit more detail around how you're feeling about the momentum of new member growth?
Bob Eddy: Yeah. Good morning, Ed. Thanks for the question. I'll take the last part of the question first. We feel really bullish about our momentum from a membership perspective. I was asked recently what the biggest unlock in our company has been over the past several years and it has been exactly this point, the ability to grow our membership period, but also specifically to do it in comp clubs, right? Our team has done a nice job figuring out the right mix of ways to interact with potential new members. And then once they're signed up to engage those new members, and that's really allowed us to put up some of the numbers that we've been putting up quarter-after-quarter and year-after-year. We're incredibly proud of the team for doing that. It is -- it's quite possibly the thing that I'm most excited about in running the company. Obviously, membership underlies everything we do and whether it's our ability to sign up new members or renew the ones that we have, the team has made just incredible gains in the last several quarters in the last couple of years. Our first year renewal rates are at all-time highs. They have a seven handle on them that's as high as we've ever seen them. We've got another good year on top from a tenured renewal rate as well. And that's really a testament to the overall business that we're running, right? We're finding the right members to sign up. We are engaging them at the right time and we are continually showing them value, saving them time through our digital properties and putting fantastic assortments in front of them. So I think we really do have that flywheel going in this part of our business and hopefully we can -- we can build upon that in the rest of our business. And as it leads into this fee increase discussion, we think this is the right time for all the reasons I talked about in the prepared part of the call today, we have invested an incredible amount in our business over the past seven years since our last fee increase and I gave you some of those data points. They're fairly powerful when we look at it and we have been hearing from our members that we're doing a great job. They're certainly showing us that through their performance and their behaviors. And frankly, we don't want to disrupt the momentum that we have out there, but I think the behaviors that we're seeing today would tell us that there's little disruption to come. And we've done a nice job, as I said, getting them integrated into our business and renewing them well. There's always a little risk from a renewal rate perspective when you raise the fee, but I would imagine this time around, given the performance of our business in general that it will be significantly less risk than the last time that we raised the fees. And so we're pretty bullish on our ability to do it. And we're doing it really because it will allow us to invest further into the value of a BJ's membership. We will continue to raise our labor rates and our labor hours in the clubs in order to best service our members and do things like the digital conveniences and obviously, fresh has a higher component of labor to it than other parts of our business. It will allow us to really focus even harder on the value that we provide in terms of price and promotion and invest in other areas of our business as well. So I think it's the right time. I think we're very, very happy with the momentum that we have and I don't see that momentum slowing down.
Edward Kelly: Great. Thank you.
Bob Eddy: Thanks, Ed.
Operator: Thank you very much. Our next question comes from Kate McShane of Goldman Sachs. Kate, your line is now open.
Kate McShane: Hi. Good morning. Thanks for taking our questions. The first question I want to ask was just about your comments around adding gas stations to existing clubs. We wondered what kind of lift you see to membership and/or comps and how big of an opportunity could that be going forward?
Bob Eddy: Hi, Kate. Good morning. Thanks for the question. This has been an interesting thing to put a gas station in a club like Medford, Massachusetts that's 40 years old. It was a little bit of a feat of engineering and it's obviously, always an interesting proposition to get the zoning approval from the relevant authorities to put gas in the ground anywhere, but never mind, on the way that we did it. And we'll continue to do that because we do see a big benefit in the club's performance. I would venture to say every club that we have -- has gas performs better than similar clubs without gas and they do it in the two ways that are most important, they comp better and membership renewal rates are higher, that gas is probably the best way to show value out there. Everybody knows a good gas price because there's a sign on every street corner and we tend to have better prices than the street and we then layer on all sorts of gas discounts on top of it, up to $0.15 a gallon with our top tier credit card. So we take a great price and make it an outstanding value that way. And so it's a great way to show value. It's a great way to get people in our parking lots. It's a great way to get people shopping in our buildings as well. And we'll generally add gas just about anywhere we can figure out how to do it, whether it's with a new club or with an existing club, whether it's on the pad or shortly off the pad because we do think it really improves the trend of the club. Bill's team has done an outstanding job finding ways to do this and going back and sort of mining our existing club infrastructure to see if we can figure out ways to do it and we'll continue to do that for the foreseeable future.
Kate McShane: Thank you. And then we just wanted to ask a question on the CMP initiative. You mentioned you're through grocery and sundries. We wondered if you're ahead of where you thought you'd be when you spoke to us at the end of the second quarter and if there is an end date of when you're through and when these costs will persist into '25?
Bob Eddy: Good. That's a great question. CMP, I don't think will ever really stop. It will ultimately become embedded in the way that our merchandising team goes to work every day. We -- relative to your cost question, we did have some external help in business up and running and the costs that are running through the P&L today are representative of that. Over time, that will -- that cost will fall off and it will be our internal team that's doing it. It's a great program. It is yielding very good results. Those categories that have gone through the CMP process, in the aggregate are doing better than those that haven't. We'll continue to go through those categories that haven't been through CMP. We're sort of tinkering with other categories that are harder to put through this type of a model, like our perishable categories given the volatility and the seasonality and things in perishables. But the core tenets of let's look at the data and understand what our members actually want from us from an assortment perspective and figure out the right cost to buy it at are relevant in every category in the building. And so whether we run it through the official CMP route or not, I think every category in the building will go through at least those two pieces of it and hopefully yields -- yield great results. We did have some uneven execution as we went through CMPs this year and we will get better at doing that and changing the assortment. But the confidence that the results give us to proceed is significant. Like, I said, those categories that go through this process perform better in comp and margin rate than those that haven't. And so we'll continue to do it. Our merchandising team has done a fantastic job. Our analytics team has done a fantastic job with it and it will be a key part of how the team goes to work in the future.
Kate McShane: Thank you.
Bob Eddy: Thanks, Kate.
Operator: Thank you very much. Our next question comes from Simeon Gutman with Morgan Stanley. Simeon, your line is now open.
Unidentified Participant: Hi. This is Zach (ph) on for Simeon. Thanks for taking our question. Given the increased rate of unit openings, can you give us a little bit more color on what pre-opening expenses might look like in the fourth quarter, please?
Laura Felice: Hey. Good morning, Zach. We're thinking about pre-opening for the fourth quarter around $15 million that corresponds to the pace of openings in Q4 versus Q3, it will accelerate. And so that's kind of how we're thinking about it for the fourth quarter.
Unidentified Participant: Thank you. And then just as a quick follow up. Regarding the Fresh 2.0 strategy, I appreciate the color you've given on the call this morning. As a follow up, are you finding vendors supportive at all to fund some of those investments in Fresh 2.0?
Bob Eddy: Look, I think the supplier community has been great as we've changed our assortment. As we talked about, we have done a bunch of different things with the vendor community. We've put in different items, we've changed pack sizes, we've changed how things are transported, over what time they're transported. We've done a lot of things and those supplier partners of ours have been very willing to help us in this initiative and frankly, they've been rewarded as much as we have with double-digit comp growth mostly coming from units. That's all extra business for them as well. The thing that makes it a little bit lesser margin for us is frankly the labor component in our clubs. And you think about the difference between dropping a pallet of Fruit Loops on the floor versus hand stacking tomatoes or asparagus or bag salad or something, there is a different -- a slightly different model at play there that is a little bit more costly to run in our environment versus a standard pallet configuration. That's something we're absolutely willing to tolerate because we believe in the ultimate payback from our members. As we talked about, those folks that buy our fresh categories from us are our best members period. And they are worth tremendously more lifetime value than those that do not. We have a reasonable population of folks that don't buy fresh from us at this point and we are day by day convincing them to do that by putting better products on the floor and present them in a way that matters and a pricing that is an attractive value. And so we'll continue to make that investment because it ultimately will help drive the entire box, not just the perishables business. That's really the key part to this program. If we just grow the produce comps, that's fine and we'll take that. But the real magic and we're starting to see that in the clubs that have had this program for about a year now, we're starting to see the overall traffic in those boxes lift and that's what we saw in the test clubs that we did and now we're starting to see it in other clubs. That will help us next year, the year after -- year after that as we deepen our relationship with these members and really get that repeat traffic coming.
Unidentified Participant: Helpful. Thank you.
Bob Eddy: Thanks, Zach.
Operator: Thank you very much. Our next question comes from Chuck Grom of Gordon Haskett. Chuck, your line is now open.
Chuck Grom: Great. Good morning. Thanks a lot. Great results. Just two questions from me, one near-term, one longer term. On the near-term merch margins, can you talk about the expectations for the merch margin rate to be flat for the year? The fourth quarter guide looks a little bit conservative given the lap, especially against the co-brand card cost last year. So can you talk about puts and takes here in the fourth quarter? And then bigger picture, congrats on getting the 7.5 million members. I think that's about 30,000 per club, which is up about, I think from 23,000 per club in 2019. Can you just discuss the opportunity and strategy to expand the membership within your existing footprint? It just seems like there's still a big opportunity relative to your two largest peers, particularly Costco. Thank you.
Bob Eddy: Yeah. Thanks, Chuck. Maybe I'll talk about membership and Laura can talk through merch margins. I think you're right. I think 7.5 million members is fantastic. We're very proud of the progress we've made over the past several years in the total amount of members, but also the members per club that you bring up. As we've talked about in the past, the disconnect between ourselves and our competitors over time has largely been a math exercise having to do with our renewal rates. For many years of the company's history, the renewal rate – tenured renewal rate was in the low 80% range and having been at 90% now for a few years and hopefully for the future, we're obviously retaining more and more members every year and that math is quite powerful. And as I said, we're also finding great ways to grow membership in comp clubs, innovative ways to talk to folks, different promotions to get people to come in and be members. We're attracting more and more members through digital properties today than we ever have, well over 50% of our members come in through digital means today. So we've just done a lot of things right, not everything right, not everything at the same time, we've still got stuff to work on. But we've come a long way from where we were really five, seven, 10 years ago from this perspective where we were just trying to fill a leaky bucket 10 years ago and now we're growing day-by-day, quarter-by-quarter, year-by-year. So a lot to be happy about. We are by no means done. And all the things that we talk about, whether it's Fresh 2.0 or the general merchandise transformation or the digital properties, those are all aimed at the same point where we're trying to grow the total size and quality of our membership base. And that won't be done overnight, but hopefully, the next few years make as much progress as the last few years did. We really are excited about the momentum that we have and we have a lot of fun stuff on tap to try and keep that going. Laura, you want to talk about merch margins quickly?
Laura Felice: Yeah. Hey, Chuck. Good morning. On merch margins, I would -- I'd offer a little bit more color on what we've already talked about a couple of times here. We're really happy with the merch margin growth we delivered in Q3. It was a little bit better than we expected, gets us to about flat as we sit here today, year-to-date. As we think about Q4, I think it's our guide for the full year is flat and so that gets us to about where we are today. We're really happy with the progress we're making on CMP, which we've talked about and our fresh business. And so both of those things we factored in as we think about our margins in Q4.
Chuck Grom: Great. Thank you.
Operator: Thank you very much. We currently have no further questions. So I'd like to hand back to Bob Eddy for any closing remarks.
Bob Eddy: Thanks, Carly. Thanks, everybody for your attention this morning and for your support of our company. We're really excited about our future. And hopefully, today, we've given you some idea of why that is. We will talk to you after our fourth quarter and we wish you all the best holiday season. Thanks very much.
Operator: As we conclude today's call, we'd like to thank everyone for joining. You may now disconnect your lines.